Operator: Good afternoon ladies and gentlemen. And welcome to the Good Times Restaurants, Inc. Fiscal 2019 First Quarter Earnings Call. By now, everyone should have access to the Company’s fourth quarter earnings release. If not, it can be found at www.goodtimesburgers.com, in the Investors Section. As a reminder, a part of today’s discussion will include forward-looking statements within the meaning of Federal Securities laws. These forward-looking statements are not guarantees of future performance and therefore you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect and, therefore, investors should not place undue reliance on them and the Company undertakes no obligation to update these statements to reflect the events or circumstances that might arise after this call. The Company refers you to their recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial conditions. Lastly, during today’s call, the company will discuss non-GAAP measures, which they believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with the GAAP in reconciliation to comparable GAAP measures available in our earnings release. Please note, this event is being recorded. I would now like to turn the conference over to Boyd Hoback. Please go ahead, sir.
Boyd Hoback: Thank you, Carl. Thanks, everyone for joining us on the call today. With me today is Ryan Zink, our Chief Financial Officer. Let me begin with a high level overview of our quarterly results and progress on various initiatives and then Ryan will get into more detail on our financial results. For the first quarter revenue grew 11%, including a 0.2% increase in comparable restaurant sales of Bad Daddy's even though we lost about 10 store days to closures in North Carolina due to the storm and a 5.2% decrease in comparable restaurant sales at Good Times. Our Bad Daddy sales showed some further acceleration at the end of the quarter and that acceleration has continued so far into our current quarter. Good Times sales were impacted by a fairly dramatic year-over-year weather comparisons with the prior year having above average temperatures and below average precipitation with this year being the opposite. We estimate that most of the comp sales decline is weather related as we were comping over a 5.9% increase from last year and that unusually warm weather trend last year continued through the middle of the second quarter and things began to normalize after that. Weather is a major factor, we're also impacted by the aggressive competitive discounting in the quick service restaurant space. While we're not a low price leader, we're a major discounter. However, we believe we need to increase the frequency of both value and premium product messaging for Good Times. As such beginning later this month we're shifting to a heavy radio and digital video media schedule for the balance of the year which allows us to combine our own hard value messages with premium LTO product messages all supporting the larger brand story of high quality all natural ingredients. We plan to shift messaging about every six to seven weeks and we'll have much more reach with radio than what we've had with cable television over the past several quarters. Bad Daddy’s is not nearly so weather sensitive and we had an excellent holiday season which again is extended into January and early February and our comp sales over the holidays we had seven stores match or set weekly sales records. We continue to merchandise our monthly chef's specials with an enhanced focused on local ingredient and brand partners in each of our market and we're accelerating, that's part of our story. We opened two Bad Daddy’s at the very end of fiscal 2018 and one in the first quarter, followed by another one in early January, on January 2nd after the after the end of our first quarter. Two of the stores have had a slower start than planned and a few of our classic 2018 stores have come off their high honeymoon opening sales pace, while others have maintained at higher than average sales. Our fourth store that opened on January 2nd in the Raleigh market has started off very strong. And while all the stores are cash flow positive at their annualized sales level, a few are certainly below our targeted sales and as brand and awareness grows in our newer markets we anticipate that those stores will come along and eventually reach their target. But we've had a few open a little bit slower. This week we completed the purchase of the non-controlling interest to our joint venture partners and the other three Raleigh locations and we're on pace for the market to average over $3 million per store in sales. In addition to the trailing 12 month cash flow stream that we purchased from the J.V. partners, we believe there's another opportunity of perhaps 20% to 25% improvement in that cash flow that we can affect through a few product pricing and labor scheduling practices that we've implemented in our other markets, producing an effective multiple of EBITDA around four times on the purchase of that proven up, more mature cash flow stream. So we think it was a good deal for the company. With this capital commitment, we've adjusted our total development plan for fiscal ‘19 to five stores, two of which are open with the remaining three stores opening this summer in Murfreesboro, Tennessee, Huntsville, Alabama and North Charleston, South Carolina. All of those will be turned over to us for construction in late March and early April. We'll provide guidance on our growth expectations for fiscal 2020 as the year progresses, but we anticipate that our growth will continue in existing and new markets in the southeast. In addition to the purchase for the non-controlling interest interests and the opening of the five stores this year, we have a few key initiatives in play. Number one, focus on refining our site selection towards more premier or destination oriented sites for shopping, dining and entertainment, combined with upscale retail co-tenancy, along with strong daytime employment and more upper income residential demographics. While we have a few high volume stores that are outliers to that formula, we believe that our odds for a successful site are enhanced if we stick to those dynamics. Number two, we're going to continue to grow our same-store sales through both culinary and bar innovation, with selective menu eliminations on lower margin products and lower mix products, along with elevation and the execution of quality with a number of new products that we have in our testing pipeline currently. And number three is continued margin improvement through finding labor efficiencies and simplification really throughout our operation, but particularly in the back of the house prep and our line functions and that may include some additional equipment and technology that can help offset labor hours. We reduced recently our front of the house average weekly crew hours by over 30 hours per week. And we're working on the back of the house efficiencies now, but without compromising our core brand equity of quality ingredients and largely a scratch kitchen on key items. Our cost of sales improved by 200 basis points from prior year with labor increasing 100 basis points. The fourth initiative we've got is improving our assistant manager and back of the house key employee retention with some enhanced rewards, recognition programs and feedback tools. We believe that leveraging our culture, our communication and some improved hiring practices can help offset the competitive labor and increasing wage environment without simply jacking up wages and salaries for that retention. And finally, we want to continue to embed hospitality management training as a competitive advantage and we have quite a few initiatives in play right now to maintain best-in class training tools and in communications. We see - we receive very high marks from our guests currently on our service and our hospitality, but we believe that that service model is a core competitive advantage and we will continue to leverage that. Our total off-premise sales continue to grow with the system-wide implementation of Lo-Lo [ph] The expanded implementation of DoorDash, we're averaging approximately 8% to 9% percent in total off-premise sales and expect that to grow to over 10% of total sales. We're also working on initiatives to optimize the profitability of both the in-house take out sales, as well as delivery. As I mentioned last quarter that includes implementation of a separate pricing menu for delivery that we're - we've got partially rolled out right now. We plan to leverage that technology with implementation of a new loyalty program for our guests in our third fiscal quarter. Ryan, will provide more detail on our financial performance during the quarter and our guidance for the balance of 2019. And I'd like to turn it over to him.
Ryan Zink: Thanks, Boyd. Bad Daddy's restaurant sales increased 21.8% versus last year from just under $15 million to $18,250,000 million for the quarter. This was due to the eight new units opened since the end of last year's fiscal first quarter and resulted in approximately 114 more store weeks this quarter versus the same quarter last year. That was partially offset by lower overall average unit volumes, primarily experienced by the restaurants not in the comp sales base. We achieved positive 0.2% comps for the quarter, slightly higher than our guidance. 18 Bad Daddy's restaurants were included in the comp base at the beginning of the quarter and one restaurant ended the comp base during the quarter. Two restaurants will enter the comp base during the fiscal second quarter. Cost of sales at Bad Daddy's was 28.9% for the quarter, a decrease of approximately 200 basis points versus last year first quarter and a decrease sequentially over the previous quarter by 0.5%. We've had rather stable commodities over the past several months and have benefited from a slight menu price increases over that period of time. Bad Daddy’s labor costs increased by approximately 100 basis points compared to the year ago quarter to 38.3% in the current quarter. These increases are due to increasing wage inflation for back of house employees where wages are up approximately 6% on a year-over-year basis, on top of unfavorable statutory wage increases in Colorado from the prior year quarter. That along with the deleveraging impact of lower average unit volumes this quarter compared to the same quarter last year. As we look to Q2, we expect a sequential increase in labor as a percent of sales due to another $0.90 increase in both the full minimum wage and the tipped minimum wage in Colorado, which took place on January 1st. Overall, restaurant level profit a non-GAAP measure for Bad Daddy’s was $2,738,000 million for the quarter or 15.0% of sales, compared to $2,354,000 million or 15.7% last year, a net increase of $384,000, the result of greater sales due to new restaurants and favorable cost of sales, offset by the impact of higher labor, occupancy and other restaurant operating costs as a percent of sales, again due to a combination of the lower unit volumes and approximately $138,000 of commissions earned and paid during the quarter to delivery service providers. At our Good Times brand, restaurant sales decreased by $713,000 to just under $6.9 million, driven by two fewer open restaurants during the quarter, coupled with the negative 5.2% comps, which was in line with our expectations for the quarter. For the quarter traffic is measured by just check counts, decreased just over 10% at our comparable units. We have year-over-year menu price increase of approximately 3.7% with approximately 1.7% favorable mix shift. Food and packaging costs at our Good Times brand were 32.7% for the quarter, a decrease of 1.1% versus last year's fourth quarter - first quarter, as we finally began to feel the impact of reduced beef costs for our all natural product, coupled with lower level of discounting versus the year ago quarter, when we had run a successful promotion on discounted kids meals. We expect similar cost of sales for Q2 with declines later in the year as we implement initiatives to reduce the costs of our Bambino’s product and reduce waste we found in our custard making process. Total labor costs at Good Times increased to 37.3% from 35.3% for the quarter last year. This is primarily due to a combination of the increase in average wage rate of approximately 10.5% versus the same quarter last year, coupled with the deleveraging impact of the lower unit volumes associated with the negative comp sales. Restaurant level operating profit at Good Times decreased $220,000 from the same quarter last year to $785,000. As a percent of sales, restaurant level operating margin declined by 1.8% versus last year, primarily as the result of higher cost labor and the deleveraging on the lower sales of fixed costs, including occupancy costs. General and administrative expenses increased to $261,000 million during the quarter from $1,915,000 [ph] million in the same quarter last year, but declined as a percent of total revenues from 8.4% in the quarter last year to 7.9% this year. Most of our increases in G&A costs are attributable to additional managers and training for Bad Daddy’s associated with a greater number of restaurants compared to the prior year. Although we currently expect G&A spending to increase in dollar terms, we do anticipate that the G&A expenses that have declined will continue to decline as a percentage of revenues throughout fiscal 2019 and beyond, as we expand our base of restaurants and build out our corporate G&A at a slower pace. Our net loss for the quarter was $151,000 million versus a net loss last year of $583,000 in the first quarter. This $468,000 wider net loss was primarily due to increased pre opening G&A depreciation and interest expense. Pre opening expenses for the quarter were $627,000 compared with $577,000 in the same quarter last year. Our adjusted EBITDA for Q1 of fiscal ‘19 decreased by $110,000 to $767,000. As Boyd mentioned, subsequent to the end of the quarter we closed on the transaction to acquire the non-controlling interests in three entities in which we were the controlling partner. We expect this acquisition to contribute approximately $400,000 in the current fiscal year to both adjusted EBITDA and slightly less to net loss and it is included in the guidance that was provided in today's press release. In the earnings release, we reiterated our revenue guidance for fiscal ‘19 with revenues of approximately $112 million to $114 million and revenue run rate at the end of the fiscal year of approximately $120 million. This revenue estimate includes same-store sales assumptions for the year of approximately negative 3% to negative 4% overall for the entire year for Good Times. We are projecting comparable sales of between positive 1% and positive 2% for Bad Daddy's for the balance of the year. We've opened two Bad Daddy's restaurants in the current fiscal year, as of today and expect to open three additional Bad Daddy's restaurants during fiscal 2019. We expect these three restaurants to open during the fourth fiscal quarter of the year. We also reiterate our prior guidance of adjusted EBITDA in the range of $6.0 million $6.5 million. Although we expect the acquisition of the joint venture minority interests to be incremental to EBITDA, out of conservatism given some of the deceleration in volumes for the class [ph] of 2018 restaurants, we're not increasing our current fiscal year guidance for EBITDA by a corresponding amount. We continue to expect approximately $8.4 million to $8.6 million of G&A expenses, which includes approximately a $0.5 million of non-cash equity compensation expense. We also expect pre-opening expenses of approximately $1.7 million and total CapEx which would include the $3 million that we used to purchase the J.V. interests of $10 million to $10.5 million. We expect our yearend balance on our senior credit facility to be between $13.5 million and $14 million. We finished the first quarter with $2.4 million of cash and $10.2 million drawn against our $17 million credit facility with Cadence. We continue to believe that our cash flow from our existing units, coupled with our excess cash balance and our facility will support our total CapEx needs related to new stores, the minor remodels and recurring CapEx that we will have through the end of this year and into next year. Now I'd like to turn the call back over to Boyd.
Boyd Hoback: Thanks, Ryan. We again appreciate your time with us today. With that operator, we'll go ahead and open the call for questions.
Operator: [Operator Instructions] Our first question comes from Will Slabaugh with Stephens Inc. Please go ahead with your question.
Will Slabaugh: Thanks, guys.
Boyd Hoback: We can't hear anything on our end, Will.
Will Slabaugh: Sorry, about that. Let’s give that another try. Yes, so a question on Bad Daddy’s, you mentioned the strength around the holiday season and then that continued in January. So I was curious if you talk a little bit more about what you've seen there, what you would credit that to and then any more color around what those numbers might look like?
Boyd Hoback: Yes, we were at the 0.2 for the quarter, including the lost sales for the 10 days in North Carolina. And I think we attribute some of that to some of the weather effect, as we've talked before it's certainly been very impactful on Good Times because as we mentioned in our last quarter's call most of that weather has hit every single weekend. So while it's not nearly as dramatic on the Bad Daddy side, it certainly is impactful and coming into the holidays and then out of the holidays, some of that weather abated a little bit. So part of that I think is the timing of Christmas this year, we had just the day that it fell on, I think was favorable for us from a sales standpoint. So we had a very strong, but it's maintained over these - since the holidays over the last six weeks or so, up into the mid single digits on our comps. If we can maintain that, that's fantastic. There's probably some weather impact that's embedded in that. I can't quantify that exactly. Other than that, we haven't really been doing anything else promotionally. We've gotten our staffing fully staffed. We opened nine restaurants in six months, which was a big push for us. I think we were executing well during that time. I think we're executing even better now with full management slates and fully trained management teams in all of our stores, including the new ones. So we're hopeful that we can continue the trend. There hasn't really been any significant menu shift or mix shift. It's largely been in transactions.
Will Slabaugh: That's great to hear. And I want to follow up on the labor and margin comment that you made. Can you talk a little bit more about how you're planning on going about finding those hours to cut out without compromising the customer experience and what sort of CapEx potentially might we be looking at if you do need to add on additional equipment to help that happen?
Boyd Hoback: Yes, it's a good question. I think the CapEx will be relatively minor. We've got some equipment that we think is rather inefficient on our line, particularly and so we're looking at a piece of equipment that has a little bit more capabilities, rather than just our top 6 ways [ph] for example. We don't have that vetted out yet, so I can't say that it's going to work. So I don't want to over represent that. But really there is two primary functions we're looking at, really three, when we look at our - other than the front of the house changes we've already made, one is in our prep. We think there's more efficient ways for us to do our prep both in terms of the times a day that we're doing it, as well as some of the methods we're using and the size of batches that we're prepping on a day to day and week to week basis. We're not planning on really taking out a house. A lot of our scratch made sauces and dressings, there's a couple of fairly low incidents items that we might be able to find some efficiencies on that. And then on the line itself is really working on more efficiencies that we hope will impact not only labor, but better ticket times through some technology and through some pieces of equipment on the line. We've got - we've been using KDS screens in different functions and we've got one in test now, that enables us to do a little bit better timing and staging of how orders come into the different stages in the line and then we're really looking at we cook everything from scratch and everything from a raw state, including all of our proteins and we're looking at different ways for us to be able to get - accelerate that a little bit and maybe get some efficiencies.
Ryan Zink: I might make a couple of other points and just that, I think in some cases these may be - there's definitely going to be some CapEx associated with that. I think we've filled out our CapEx forecast in a manner that some of these - we can absorb some of these projects in the CapEx guidance that we provide, so it’s kind of point one. And then point two is kind of related to, specifically to front of house hours and if you think about the comments Boyd had made around the increasing to go sales or off-premise sales that doesn't require the service labor, that a full dining guest would experience, it would require. And so there's a certain element of the front of house labor that can come out based upon the allocation of sales over to – or to go and delivery.
Will Slabaugh: Got it. Thank you.
Operator: And our next question comes from Jeremy Hamblin with Dougherty & Company. Please go ahead with your question.
Jeremy Hamblin: Thank you. And I wanted to actually start by following up on the last point on delivery and just understanding the economics behind that, as you guys are kind of early on in this process, you do save some on the service hours, but at the same time you're paying a third party vendor for delivery service and probably a take rate of you know, 10 or so. Can you tell us whether or not those delivery, online sales in general whether or not that is margin accretive or not? Can you give us a feel – a little bit of the economics behind it?
Ryan Zink: Sure, Jeremy. I think the big question that is difficult to measure in the long run is are those sales incremental or not and to the extent, and I think generally we've seen in the short to medium run those are incremental sales. Now they're not hot - and I'll kind of bifurcate into Colorado and non-Colorado. In non-Colorado those sales are not extremely high margin sales, in either market would we really characterize them as high margin sales. But I think they are margin accretive in both cases. Now in Colorado where we have higher cost front of house labor, the formula works a little bit differently because the cost that we're getting rid of or that we don't incur rather on off-premise sales is quite a bit more expensive than it is in the rest of the country. And so I think in Colorado it actually is - well it's not the same margin as a full dine in guest. It is not as low margin as it might be in the rest of the country where we're paying 213 [ph] an hour. Beyond that, I think you're kind of on target with your percentage for the commissions. We are exploring pricing differences between dine in and delivery. And we do have that in test in a couple of restaurants, as we're trying to understand if we can recoup and improve -- improve the profitability of those sales by quite frankly increasing - but offsetting that increasing the price to the customer. Boyd, I don't know if you have further comments beyond that.
Boyd Hoback: No the only other impact is that obviously we don't have any thicker mix as a part of delivery sales and our liquor mix tends to - our liquor costs tends to run four to five points lower than food costs. And so the overall order - gross margin on the order tends to be a little bit higher, gross cost on the orders tend to be a little bit higher on delivery, plus we have the additional cost of some paper goods on it. But generally, I think we feel like we kind of have to be in that game. That's the way people and they're certainly using us that way. I think now our challenge is to try and make it as profitable as we can. And I think ultimately as the delivery business continues to evolve, I think the customer is going to have to end up picking up more that charge. And I think you'll see more and more pricing and fees layered in from the operator standpoint.
Jeremy Hamblin: Okay. And then I wanted to come to, the Good Times guidance, the change from down 2% to 3% to down 3% to 4%. I know there's been some weather challenges and just want to understand how to think about that. Given the minus 5, 2 [ph] in Q1, you know should we be thinking like kind of down high single digit here in Q2 and then like a plus 1 in Q3, Q4 or is some of this built into how we should be thinking about Q3 as well. Because obviously Q4 you're lapping by far your easiest compare?
Boyd Hoback: Yes. And I'll let Ryan give some more details on it, but generally as I mentioned in my earlier comments, Jeremy the weather impact last year was - and as we look at it this year was pretty dramatic. Through the middle of our second quarter we had a long Indian [ph] summer in the fall and an extraordinarily warm January. Things began to normalize by mid-February, notwithstanding yesterday's weather of zero degrees and six inches of snow. We anticipate that the year over year weather differences will begin to normalize a little bit here as we move in. I don't think even with that though we're certainly not going to be down high single digit is not our expectation. We expect to start being able to get back to flat here hopefully pretty quickly. Ryan, you want to add...
Ryan Zink: Yes, I mean, I think in the guidance model Jeremy, I thought for Q2 I have assumed similar comps to what we experienced in Q1 and I think it improves throughout --, improves throughout the quarter, and then in Q3 and Q4, I'd say kind of as flat to plus one plus two by the by the end of Q4.
Boyd Hoback: Now with the shift in marketing I would say that we're hopeful that we can get a little bit more traction than that. We've got again pretty good we think compelling hard value and new product messaging that will be rotating about every seven weeks here beginning here in two weeks - in three weeks with a little bit better presence on media. So hopefully we can do a little bit better than what Ryan just laid out.
Jeremy Hamblin: Okay. And then I wanted to explore just the commentary, happy to hear that this latest BD opening in January is off to a strong start. Wanted to just get your view in terms of why there's so much volatility in the results of the locations. I know that you have some key initiatives to help improve that. But is there something else that maybe could be done -- to have a higher assurance of positive results on site selection?
Boyd Hoback: No, that's obviously the key question. And again, we've - when we've opened stores that are open big and sustaining in the $3 million range and we've opened others that are in the $2 million range, it's obviously one we have to get figured out. I think if I were to get one generalization or one common denominator comment to that is that I think that we will be airing towards the higher income, higher demographic sites. As I mentioned we have some outliers to that that do quite well in kind of middle income, upper middle income. But to try and find all the variables and even the store for example in Roswell in Atlanta we all thought it was going to open up and hit our target. It's been one of the slower stores to open. It's got great demographics, but for some reason we just have not seen the volume yet. We're trying to do a deep dive right now both with our own resources and some third party resources to really understand what can the data tell us. And then even our ops team and our opening teams that go from store to store thought that that was going to be a big opening. I wish I had a better answer for you. We're going to try and we're working hard on that right now. I think part of it is brand awareness, although we've had in some of the coming off of the high volume that we've got in some of these new markets, as opposed to Raleigh where we've now got four stores. The dynamics of those four stores that are averaging $3 million in total, the dynamics of the site are not that different from some of these other ones that have not opened at high volume. And so we're trying to figure out how much of it is brand awareness and how much of it is site dynamics.
Jeremy Hamblin: Okay…
Boyd Hoback: If that's - if that's dancing [ph] it is. I wish I had a better answer.
Jeremy Hamblin: All right, thanks. Thanks for the time guys. Good luck.
Boyd Hoback: Thanks, Jeremy.
Ryan Zink: Thanks, Jeremy.
Operator: [Operator Instructions] And our next question comes from Steven Anderson with Maxim Group. Please go ahead with your question.
Steven Anderson: Yes, good afternoon. I actually have two questions, I wanted to address the Colorado labor and more specifically with our Good Times. We saw a similar move last year, how often and what kind of magnitude can we expect labor to affect your bottom line going into fiscal ’20? And I have a follow-up.
Boyd Hoback: We have one more annual increase statutory minimum wage increase the beginning of 2020 that we have to absorb and that's the last statutory increase. The supply and demand I think has been as much of an influence on the average wage in Colorado, as the statutory wage increases. And so we've been seeing that 7% to 9% increase more year to year. We think that that's going to begin to level out a little bit. It takes us about a 3.5% to 4% price increase to make that up not in margin, but in terms of dollars. And so we're going to continue to try and be a little bit more aggressive on the pricing side. Certainly assuming we can regain our traffic here as the weather comps normalize, but we, I think we'll see margin wise Ryan, another half a point to a point…
Ryan Zink: For next year, yes.
Steven Anderson: Okay. That was just years over to a bad days and I mentioned about the delivery and how liquor would factor in. Do you have any plans to do any liquor delivery and I was - also in other part your business Bad Daddy’s?
Boyd Hoback: We'd love to do liquor delivery, but it's illegal here and where we…
Ryan Zink: In the states that we operate – it’s not an option for us,
Boyd Hoback: It’s not an option unless I think, yes, unless you brew on site and can deliver your own packaged goods. But so the answer to that question is no. What was the second part, Steven?
Steven Anderson: Well, the second part is, I wanted talk about the lunch business, I know and couple of calls pass you were looking at maybe doing a lower lunch specific menu that have lower price points, you get some once traffic, just wanted to ask, what to - if have seen anything from that test?
Boyd Hoback: Yes, we still have that interest in the couple particularly middle and lower volume stores along with an expanded happy hour menu and happy - and happy hour drink specials that we're doing. It hasn't been dramatic. Those stores have been coming along at the same pace, if not a little bit better on a couple of them from a transaction standpoint. I think it's hard doing one price point at once to really make that big of an impact. It's a fairly high incidents in terms of people ordering it and we'll see over time if that can continue to build. I think it's going to get to it. I think it's going to take some time to kind of get that value message embedded. There is no…
Steven Anderson: Outreach to…
Boyd Hoback: Sorry go ahead.
Steven Anderson: Okay. Just want to and finish up by probably [indiscernible] question came up.
Boyd Hoback: Go ahead.
Steven Anderson: My final question is going to be on the unit developments and you're looking at five to six, I think you're looking mostly selling at five at this point, is that matter - is that sixth unit being pushed into fiscal ‘20 or is that maybe a site that you're using, want to pursue?
Boyd Hoback: A combination of both. We e did kill a couple of sites as we've gotten a little bit deeper into trying to understand the drivers on high volume versus the lower volume stores and we did have one. And our last quarter the sixth one did get pushed into the fall. It also was impacted by our going ahead with this transaction on buying out the minority interests of the non-controlling interests in the Raleigh market. But we've got the five that are all certainly signed and set to be delivered. They're all new developments, but they're all well into their construction, so we're confident that they're going to open. And then again we'll provide guidance, but we'll have a couple more here this coming this fall as well.
Steven Anderson: Is it too early to comment on what your ‘20 - fiscal ‘20 pipelines is going to be there?
Boyd Hoback: Yes, all I can say is that we're continue to work on mostly existing south-eastern markets for that development, but we haven't given any guidance on that one. So it's still a little bit early for us to delay out the pace and the number that we expect.
Steven Anderson: All right. Thank you.
Boyd Hoback: Thanks, Steven.
Operator: Seeing that there are no further questions. This concludes our question-and-answer session. Thus concluding today's conference, we want to thank you for attending today's presentation. And at this time, you may disconnect your lines.